Takumi Kitamura: Good evening. This is Takumi Kitamura, CFO of Nomura Holdings. I will now give you an overview of our financial results for the first quarter of the fiscal year ending March 2025. Please turn to Page 2. Group-wide net revenue came in at ¥454.4 billion, up 2% over last quarter. Pre-tax income grew 12% to ¥102.9 billion, while net income was ¥68.9 billion, an increase of 21% compared to last quarter. As you can see on the upper right, our earnings momentum has continued for 5 consecutive quarters. EPS was ¥22.36 and annualized ROE 8.1%. These results make a good start in our journey toward achieving our 2030 numerical target to consistently achieve ROE of 8% to 10% or more, as announced at our Investor Day in May. As shown on the bottom right, three segment income before income taxes increased 12% to ¥86.6 billion. Wealth Management and investment management saw client assets continued to grow on the back of inflows, while stable recurring revenue and business revenue reached all-time highs. We are making steady progress in expanding our stable businesses, as announced at our Investor Day. While Wholesale income before income taxes is up slightly, quarter-on-quarter, we further diversified our revenue sources, as Spread Products such as Securitized Products and Credit had a strong quarter, and equities remained robust. Next let's look at the performance of each business, starting with Wealth Management on Page 5. All percentages quoted from now on referred to quarter-on-quarter comparisons. Wealth Management first quarter net revenue increased 5% to ¥114 billion and income before income taxes gained 9% to ¥42.3 billion, representing the highest levels in 9 years since fiscal year 2015-2016 first quarter. Thanks to our large-scale reorganization last spring and the further deepening of our segment-based approach, we were able to deliver results as the mindset of our clients undergo a major shift from savings to investment. In contrast to the relentless rally in Nikkei last quarter, the market remained range bound throughout this quarter. Yet, we were able to deliver higher revenues compared to the strong prior quarter in each segment by offering services aligned to client needs. We made progress in our asset management recurring revenue businesses with recurring revenue at record high of ¥45.8 billion. As we grow revenues, we kept expenses down, particularly non-personnel expenses, resulting in a higher recurring revenue cost coverage ratio of 64%. Please turn to Page 6 for an update on total sales by product. Sales of stocks were strong at ¥4.8 trillion, including ¥1 trillion from a tender offer. That excluded sales of secondary stocks slowed. Total sales increased 9% to ¥6.8 billion. Sales of investment trusts were up 27% and discretionary investment contracts grew by 16%. Sales of insurance products increased by 38%. This underscores sound strong growth in sales of products and services, where proposals and advice from sales partners leads to transactions. KPI on Page 7 are trending smoothly. As shown on the top left, net inflows of recurring revenue assets were ¥387.9 billion, representing a solid start towards achieving our annual target of ¥800 billion. Recurring revenue assets shown on the right were at a record high of ¥24.3 trillion. The number of workplace services provided, shown on the bottom right, was ¥3.73 million, an extra ¥100,000 compared to the end of March. With the heightened focus on human capital management, we are seeing results from our efforts such as designing and proposing schemes for companies based on their objective and scope, supporting information sessions for employees and elaborating with investment banking. Please turn to Page 8 for an overview of investment management. Net revenue increased 9% to ¥47.7 billion and income before income taxes was up 31% at ¥23.2 billion. As shown on the bottom left, stable business revenue was ¥39.1 billion, a record quarterly high since the division was established. The Asset management business had another strong quarter with net inflows lifting assets under management to a record high, driving steady growth in management fees. Investment gains/loss booked at 54% gain to ¥8.6 billion, primarily driven by private equity firm, Nomura Capital Partners. Please turn to Page 9 for an overview of the asset management business, which generates business revenue. The top left shows June-end assets under management of ¥92.5 trillion, representing the sixth straight quarter record high, and outstripping our March 2025 KPI of ¥89 trillion. Quarterly net inflows shown on the bottom left were ¥950 billion, of which ¥700 billion flowed into the investment trust business and ¥260 billion into the investment advisory and international businesses. In the investment trust business, ¥410 billion flowed into investment trusts through a diverse range of distribution channels, including Nomura Securities, regional financial institutions and other securities firms. Balanced funds, global stock funds and private assets all reported inflows. DC funds also continued to grow with net assets under management surpassing ¥3 trillion. International was the main driver of the investment advisory and international businesses this quarter with inflows into U.S. high-yield bonds and global stock funds. As you can see on the bottom right, we continue to build out our private asset business with an alternative AUM topping ¥2 trillion for the first time. That's an increase of ¥270 billion from the end of March, nearly half of which came from net inflows. Please turn to Page 10 for Wholesale. Wholesale net revenue slipped 4% to ¥244.8 billion. As shown on the bottom left, global markets increased 2%, while investment banking dropped 25% from the strong prior quarter. Wholesale expenses declined 4% as last quarter's ¥14 billion loss provision and year-end factors were no longer present this quarter, more than offsetting an increase in commissions and floor brokerage linked to trading volumes and severance-related expenses due to realigning headcount. As a result, income before income taxes increased 3% to ¥21.1 billion. Please turn to Page 11 for an update on business line performance. First, Global Markets net revenue increased 2% to ¥207.7 billion. Fixed income net revenue was up 3%, at ¥125.6 billion. Macro products was roughly flat as market participants remained on the sidelines on uncertainty over the rate cut in the U.S. Spread Products reported significantly higher revenues in securitized products in Americas, driven by an increase in new originations and secondary trading, and a strong performance in Japan credit on demand for high-yield bonds. Equities net revenue trended in line with last quarter at ¥82 billion. Equity products booked higher revenues in Americas and EMEA, while Japan and AEJ slowed from the strong prior quarter. Execution services booked strong revenues in Japan for fourth straight quarter and higher revenues in both the Americas and EMEA. Please turn to Page 12 for investment banking. Net revenue slowed 25% from the particularly strong previous quarter to ¥37.2 billion. Japan performance remained robust with advisory revenues at the highest quarterly level since the year ended March 2017 when comparisons are possible. International slowed from the strong prior quarter as execution of transactions dropped off this quarter. In advisory, Japan revenues increased on contributions from completed M&A transactions, and we continue to respond to diverse client needs, such as de-listings, business reorganizations and cross-border deals. International advisory revenues declined from strong last quarter, but dialogue with clients remains robust, and we expect this to result in revenues in the latter half of the year. Financing and solutions reported lower revenues in Japan as seasonal factors led to a dip in transactions, while ALF slowed from strong prior quarter. Please turn to Page 13 for an overview of non-interest expenses. Group-wide expenses were roughly flat at ¥351.5 billion. Compensation and benefits increased 4% to ¥184.5 billion, due mainly to yen depreciation, but also impacted by an increase in fixed pay and severance-related expenses. Other expenses dropped 25% to ¥43.4 billion compared to last quarter, which included a loss provision of ¥14 billion. Please turn to Page 14 for an update of our financial position. The table on the bottom left shows Tier 1 capital of ¥3.5 trillion, up by about ¥70 billion from the end of March. Risk-weighted assets increased ¥1.3 trillion to ¥20 trillion. This resulted in a Tier 1 capital ratio of 17.4% and a CET1 capital ratio of 15.6% at the end of June. The waterfall chart on the bottom right shows changes to risk-weighted assets with credit risk up ¥0.4 trillion due mainly to yen depreciation, and market risk up ¥0.9 trillion due also to lower yen as well as expansion in our financing business. That concludes the overview of our first quarter results. To sum up, this was our fifth consecutive quarter of earnings momentum, and we have embarked on a smooth start towards achieving our 2030 numerical target of consistently achieving ROE of 8% to 10% or more. Momentum in Japan around the shift from savings to investment is growing, and we are seeing growing demand for comprehensive asset management services. Wealth Management is seeing results from its reorganization last spring and its segment-based approach, while investment management is delivering steady growth in its asset management business, as it diversifies its distribution channels and continues to book net inflows. While Wholesale performance still has room for improvement, all business lines reported higher revenues compared to the same quarter last year. And we are making progress in diversifying and stabilizing our revenues, as discussed at Investor Day. Since hitting a record high in July, the Nikkei average has recently undergone a significant correction as investors turned cautious over yen strengthening and U.S. tech stocks declined. That said, Wealth Management continues to see a lot of dialogue with clients and new accounts opened by high-net-worth clients. Offerings and other primary transactions contributed to revenues in July, outstripping the strong performance in the first quarter. In Wholesale, Global Markets is seeing strong performance in macro products, credit and execution services. Investment banking is supporting a wide range of transactions such as large offerings and unwinding of cross-shareholdings by Japanese corporates as well as advisory and sustainability-related transactions internationally. As a result, Wholesale revenues in July are trending substantially higher than first quarter revenues. Traditionally, this period is a slow season as market participants take a break for the summer, but we expect to see volatility in the market over the U.S. presidential election in the autumn and monetary policy by central banks around the world. We will manage risk and costs appropriately while monetizing business opportunities. We look forward to your continued support. Thank you.
Operator: [Operator Instructions] The first question is by SMBC Nikko Securities, Muraki-san.
Masao Muraki: SMBC Nikko's Muraki. I have two questions. Page 11 fixed income, the substance, according to this graph, spread products, so it says, securitization in the U.S. and Japanese credit are doing well, but the revenue level is beyond ¥60 billion, if I look at this diagram correctly. This revenue, what are the main products? What kind of transactions in which regions are growing, if you can give us the updated situation? And on Page 14, you touched upon risk asset and market risk increase most likely is the financing related to securitization. And Level 3 assets, it was close to ¥1 trillion. Suddenly, it's grown to ¥1.3 trillion. So my question, securitization did well. What kind of risk did you take that led to the increase of revenue as a consideration? That's my first question. And second question is a simple question. Page 5, wealth management, acquisition of assets. This is SMA for high-net-worth. And in comparison to the previous quarter, it has improved. Is this because of sales? What are the reasons behind? Was it because of market?
Takumi Kitamura: The first question was spread products and the breakdown. Mainly, it's securitized products in the United States. And that is the driver, 60% of the spread business robustness is accounted for by U.S. securitized product. Nomura's securitized products, in terms of market share, it's one of the flagship products with #1 or #2 share in the market, so we have strength. RMBC secondary trading was the main in the past phase. But in the past 10 years, we have tilted towards origination, which is not influenced by market so much. So origination 2, while secondary is 1, so origination doubled. RMBC was the main product, but asset finance and renewable infrastructure finance, in structured solutions, structured repo. So we now have a diversified product lineup. So diversification of revenue and expansion of platform has been contributed. We are more strongly able to weather any single trend in the market. That's the backdrop. And Level 3 RWA is increasing, because the reason, one is cheap yen, and GM clients trading demand is also increasing, especially for the securitization business and the inventory has increased. So that has led to the increase of RWA. The business is healthy. So the stock has increased driven by the healthy business. And your second question, there is increased discretionary investment. ¥40,000 Nikkei average, market-wise, it's dealing at high level, and the investment momentum is driving on the part of the clients. When equity price increases, people try to lock in the profit and sell their holdings. But rather than selling with unrealized gains increasing, the client sentiment is improving. So unrealized gain, they keep in order to invest that for further investments. So I think we are in a very virtuous cycle. For discretionary investment, SMA in high-net-worth, we are seeing a significant increase there.
Masao Muraki: Regarding my first question, RWA, Level 3 securitized business used much of the RWA. And regarding the consumption of resources, the capital efficiency for the securitized business from the perspective of CFO, has there been recovery that gives you comfort against the target? What's the current level? And are you comfortable with that? And in July, you said it went beyond what you had expected. Does that mean that securitization results are stronger than expected?
Takumi Kitamura: How much is the business we do? That’s an important point. In comparison to our peers, SP portion may be slightly larger at Nomura. That being said, I’m not saying that we should become closer to our peers, but we will monitor how much growth we will see. But the most recent situation is very good, and Credit Suisse exiting from the U.S. market has been providing strong business opportunity. And in July, the situation was quite healthy for securitized products. And naturally, under Basel III, RWA of securitized product tends to come down. So that being said, we hope to think about the capital efficiency.
Operator: The next question comes from Watanabe-san from Daiwa Securities.
Kazuki Watanabe: I'm Watanabe from Daiwa Securities. I have 2 questions. First question is regarding IB business. So large-sized offerings are being announced one after another. But compared to last year, in terms of pipeline, to what extent have you seen an increase? And also regarding the reduction of policy holdings, the issuers have various options, the offerings and buyback and so on. But what kind of schemes has the biggest contribution to you in terms of revenue boosting? That's my first question. Second question is regarding CET1 ratio that came down in the first quarter. But after finalization of Basel III, from 14%, is the ratio going to change? If not much impact is expected on the securitized business, then you may be able to retain 14%, but what is the outlook? At our Investor Day, CET1 ratio target you said is going to be set, but what is the timing for the disclosure of CET1 target?
Takumi Kitamura: Regarding your first question, regarding IB, pipeline is quite robust. In the insurance sector, such bedrock sector is moving, so FPO in Japan is expected to increase. The capital efficiency increased such as deals are the central part of the deal that we're expecting a high level of deals. So POs and offerings are the areas where Nomura can exercise the capabilities. Regarding your second question, CET1 ratio under finalization of Basel III, in our outlook, is not going to change much. Currently, the CET1 ratio has come down, as you mentioned. But looking at the positions or portfolios, components have changed slightly, but the eventual prospect or outlook has not changed regarding the timing of disclosure of target level. Since May, it's been only 2 months, so we would like some more time before disclosure.
Kazuki Watanabe: By the end of the year, are you -- can I expect to see the disclosure?
Takumi Kitamura: Yes, sometime within the year, hopefully, we can conduct a disclosure.
Operator: The next question is by Morgan Stanley MUFG, Nagasaka-san.
Mia Nagasaka: This is Nagasaka of Morgan Stanley MUFG. I have two questions. ROE, 8% to 10% overall consistently being achieved, and you said you're well on track. Again, by segment, how will you be structuring your business towards that goal? Bottom line, more than ¥300 billion to be consistently generated, that would be necessary. But by each segment, what do you plan to achieve? And second question, Slide Page 7, wealth management, recurring assets and recurring revenue. Recurring assets increasing. Recurring revenue is very strongly increasing against recurring assets. Can you give us the reason? Is it because of product strategy? What other reason behind that has kept Nomura responding to the client needs. And also, could you comment on margin?
Takumi Kitamura: First question was ROE 8% to 10% plus. As you just heard, for this quarter, wealth management, investment management, these consistent business, stable businesses are generating high level of profits. In the mid to long run, finally, we are seeing a major trend of savings to investment. So not just simple growth. Assets consulting, asset management are areas where we are seeing growth. So revenue stabilization and these businesses do not rely on equity. So we are already seeing visibility, gaining visibility in ROE growth. Wholesale, yes, there has been a slight increase in revenue, but there's room for further improvement. 91% expense ratio, that's still high. So increase in revenue and reduction of costs should lead to cost-income ratio decline, and we would like to achieve the bottom line of ¥300 billion by taking those measures. And also the recurring revenue growth is quite healthy in comparison to the growth of recurring revenue assets. What’s the reason behind? Product-based breakdown based upon AUM hasn’t really changed that much. This might be just a spot number. So it may appear to be slightly different. Today, if that instance, the average recurring revenue asset was high, maybe you would see it differently. And maybe the proportion of certain products has changed slightly, but I don’t think that there is any regular trend behind. That concludes my response.
Operator: The next person asking the question is Otsuka-san from SBI Securities.
Wataru Otsuka: I'm Otsuka from SBI. I have a couple of questions. First question, Page 21. By region, usually, you show the numbers by region and based upon the regional numbers. In EMEA, in this quarter ended up being in a loss position. What was the background? And also ¥17 billion total profit for international region, how should I think about it? So ¥17 billion. So -- this number will be higher when the EMEA breaks even. So on a quarterly basis, ¥17 billion over the last 2 years, it's not so bad. So how do you evaluate the first quarter's profit level of international market, ¥17 billion?
Takumi Kitamura: EMEA last year had a huge loss. It's partially due to one-off reasons. And there was a reallocation of human resources across businesses. And under the new structure, it's been several months now, and looking at different months. In April and May, we did not see much of a movement, but in June onward, we started to see a sign of recovery. But I'm afraid to tell you that from April through June, the figure is negative. However, the trend is pointing upward. The quarterly revenue, ¥17 billion, how do we evaluate this level? In international markets, as you know, the net operating loss exists. So if we can generate more profit, than effective tax rate will come down. So ¥17 billion is not something that we are satisfied with, but we would like to aim higher.
Wataru Otsuka: My second question is about wealth management. Sorry, I might have missed your explanation, but in July. So what is your feel or impression about the business in July? Nikkei stock average has come down month by month. So the market tailwind is not there, but investment trust, insurance, discretionary services, in these products, what is the situation, including the mindset of clients?
Takumi Kitamura: In July, these businesses are strong compared to the April through June quarter. We have had several primary transactions which supported the business, but clients’ investment minds are somewhat cautious with clients staying on the sideline, but when the stock prices came down, they bought. So the trend is strong. That’s our view. As for our sales partners who are allocated to clients, when the market comes down, which presents difficulties for us, our partners face our clients and market outlook can be explained by then so that our partners can stay close to the concerns of clients. So the decline in market is not necessarily a bad thing for us. So it will be an opportunity for us to differentiate ourselves from other companies. So July, situation is very strong. That’s our evaluation.
Operator: The next question is by Niwa-san of Citigroup Securities.
Koichi Niwa: Niwa of Citi. I have two questions, shareholder return and wealth management. First, on shareholder return, share buyback, I have 2 questions. First, why were you able to buy back at an early stage? So that's my first point. And secondly, in this timing of announcement of results, are you engaged in any discussions regarding additional share buyback? Were there any discussions or not? And then the second major topic is wealth management. And I have questions from 2 angles. On assets, I have this feeling that you can already revise upward your target for this term. How robust is the performance against your expectations? Secondly, one of the challenge was emerging-wealth clients and acquisition of those clients, how is that going? You said you are now feeling the phase of clients, the wave of clients from savings to investment. Has that been driven mainly by emerging wealth clients or not?
Takumi Kitamura: First, ¥100 billion share buyback, why were we able to do that early? Well, we placed the order early, so we were able to do it. And back then, the share price was low. And since around January, we were estimating recovery of performance. So we studied the good timing. And regarding the first quarter, we just finished our previous round of share buyback. So we are not specifically thinking about any further buyback in first quarter. ROE beyond capital cost has been generated. And as I’ve said, most recently, the performance is very sound for the month of July. I cannot make any judgment, but share buyback is a very important option in the capital policy. And I am feeling the expectations from investors. So we will continue to study the best timing and the best size of share buybacks. And isn’t it about time to revise upward the recurred asset – recurring asset target? I think we are seeing growth steadily so far. The most recent number was outperforming this term’s goals, but we want to do more internal discussions on this matter because we don’t want the targets to become a living creature on its own. Recurring asset is something that expands by gaining the business from our customers, and we will discuss the appropriate level with our key personnel of wealth management. And the other point was emerging-wealth clients. In the workplace business, we are gaining new clients, and we have already outperformed the goal that we set forth. The workplace is quite attractive for the top management of issuer companies. So how can they retain high performance within the organization? How can they increase the engagement of their existing employees? And they want to use their personnel as sources of growth. So investment banking and wealth management have common KPIs, and they are taking action, and we are seeing performance as a result of those efforts. Workplace service clients, are they all qualified to be categorized as emerging wealth? We will have to see. But we want to attract these customers, and we are providing support in way of investment education. So we want to increase the number of Nomura fans. Other than workplace business, new acquisition is doing well. Acquisition of new clients is performing well. Sorry, I will comment on last fiscal year, but wealth management, PWM, high-net-worth clients, the number of new clients increased by about 50% in comparison to the prior term. So if we look at the first quarter, there has been yet another 30% increase, including references, and I think we are on a very healthy cycle, good track.
Operator: The next person asking the question is Otsuka-san from SBI Securities.
Wataru Otsuka: I am Otsuka from SBI Securities. I have 1 additional question. Page 25, the net inflow of cash and securities. The retail number alone is ¥460 billion for the first quarter according to the disclosure. But cash and securities, if you split them, what's the split between them? The intention of my question is, ¥460 billion, that's a quite high level. So from other financial institutions, clients may be moving their cash to Nomura accounts to buy securities. Is that what's happening?
Takumi Kitamura: I do not have the breakdown with me right now. But as you said, ¥460 billion inflow, this is a big number, but I’m afraid I do not have the breakdown with me. So from our IR office, our staff will get in touch with you.
Operator: [Operator Instructions] As there is no more question, we would like to finish question-and-answer session. Now we would like to make the closing address by Nomura Holdings.
Takumi Kitamura: Thank you for staying until late in the evening. ROE 8%. We were able to report that after a long interval. Our target is ROE 8% to 10% or more, and we are at least at the minimum level of that target, which is good news. Of course, there was a tailwind of the market and high prices there, but that wasn't the only reason why. I believe that the numbers were achieved due to the efforts that we have made. This 8% ROE, we're not complacent at this level because we need to be consistently delivering such level of ROE, or else, we will not be able to gain the confidence of the investors and shareholders. We know that well. So this was quite a healthy results announcement, but there are still outstanding issues that we need to tackle. So we will take these actions in order to maximize our corporate value. So we welcome your feedback, your sharp criticism and your objective views and please be frank in sharing your views with the IR. Once again, thank you for joining us.
Operator: Thank you for taking your time, and that concludes today's conference call. You may now disconnect your lines.